Presentation:
Operator: Good day, ladies and gentlemen. And welcome to the Q4 2018 Gannett Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time [Operator Instructions]. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's call, Ms. Stacy Cunningham, Vice President of Financial Planning and Investor Relations. Ms. Cunningham, you may begin.
Stacy Cunningham: Thank you. Good morning, everyone. And welcome to Gannett's Fourth Quarter and Full-Year 2018 Earnings Conference Call. As a reminder, this call is being recorded and webcast. Joining us today from Gannett are Bob Dickey, President and Chief Executive Officer and Ali Engel, Chief Financial Officer. Before we begin, I would like to call your attention to our Safe Harbor provision for forward-looking statements in our financial results press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the contents of our forward-looking statements. For a more detailed description of the risk factors that may affect our results, please refer to our financial results press release and our SEC filings, including our 2017 Form 10-K. Also during this call, management's commentary will include non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in the tables of our financial results press release, which we have been posted to our Investor Relations, which we have posted to our investor relations Web site. With these formalities out of the way, I'd now like to turn the call over to Bob.
Bob Dickey: Thanks, Stacy. Good morning and thank you for joining us today. Before we discuss our performance for the quarter and the year, I'd like to briefly hedge some of the recent news regarding Gannett. On February 4th, we announced that our Board of Directors unanimously rejected an solicited proposal from MNG Enterprises to acquire Gannett for $12 per share in cash. After careful review and consideration conducted in consultation with financial and legal advisors, the Gannett Board concluded that MNG's unsolicited proposal undervalued Gannett, is not in the best interest of the company and our shareholders and is not creditable. During the meeting between representatives of Gannett and MNG on February 7th, at which MNG once again failed to provide substantive answers to basic questions about its ability to finance and close its proposed transaction. MNG notified Gannett of its intent to nominate six candidates to stand for elections to Gannett's Board of Directors at the company's 2019 Annual Meeting. All of the candidates nominated are affiliated with MNG and/or its majority of shareholder, Alden Global Capital. Gannett will provide another set of data in 2019 Annual Meeting and the board recommended director nominees in our proxy statement and other materials to be filed with the SEC and mailed to shareholders. For further information, I would refer you to the public press releases of these topics that the company has issued over recent weeks. Our focus today is on our financial results and we don't intend to comment further about these matters on this call. With that, I'm going to move on to our fourth quarter and full-year highlights from our marketing solutions and consumer organizations, followed by discussion of our strategic priorities for 2019. I will then turn it over to Ali, who will conclude with our detailed financial results and our outlook for 2019. Overall, we are pleased with the fourth quarter revenue trends in our publishing segment, which showed improvement as compared to the third quarter. Our domestic operation results were more encouraging, while our UK operations experienced weaker trends as Brexit continues to create uncertainty that is impacting the UK economy. Our ReachLocal segment delivered another strong quarter of revenue growth and margin improvement, and work stream continues to perform in line with our expectations. Within the publishing segment, we were particularly pleased to see stronger revenue growth in our digital advertising and marketing services category. National digital media revenues finished the year strong, up 18% year-over-year in the quarter with solid results from both premium and programmatic channels. Strong audience and page view growth in our consumer organization also help drive the improved digital media trends across both national and local. Our consumer organization delivered our best circulation revenue performance of the year, driven by our subscriber pricing initiatives. We finished the year with just over 500,000 digital only subscribers, up 46% from year-end 2017 as we continued the transformation of our consumer business. Turning to our ReachLocal. We reported solid fourth-quarter revenue growth and adjusted EBITDA that more than doubled year-over-year, driven by the addition of WordStream and higher average revenue per client. We saw strong revenue growth within our local market client base, gains at our remaining international operations and the continued migration of our client mix to larger spending accounts within the core ReachLocal North America business. For the full year, ReachLocal segment revenues grew 15% and adjusted EBITDA margins reached 12%, achieving our double-digit goal well ahead of expectation. Since acquiring ReachLocal in August of 2016, we have succeeded in turning an unprofitable business into a healthy and growing digital business, and are providing our clients with best-in-class digital marketing products and services. And we are able to effectively lower our cash purchase price by 23%, with tax planning and the utilization of tax assets. In summary, ReachLocal has both driven improved financial results and importantly, helped accelerate the digital transformation of our B2B business. Looking ahead, we are focused on new client acquisition, local market penetration and creating stickier lectureships by up-selling our clients on our full suite of products. I'm incredibly proud of what we accomplished in our marketing solutions organization in 2018, and we believe we are well positioned for another strong year in 2019. During 2018, we made significant progress on our strategic B2B sales transformation, reorganizing the team to better serve our clients, changing leadership and launching a new go-to-market brand LOCALIQ. We are encouraged by the progress we are seeing with our metros and community sales teams who have consistently grow in digital revenue year-over-year since the reorganization and have the goal of growing total advertising revenue by the end of 2019. Our newly formed strategics team is taking a more holistic approach for our larger clients, creating solutions, including both ReachLocal and SweetIQ products that delivered over 50% digital revenue growth in the fourth quarter. Our call centers, which are focused on our smallest highest churn clients, are just starting the gain traction. And on the national side, USA TODAY, our sales team achieved a key milestone, more than 75% of USA TODAY's average advertising revenues are digital. And they achieved total advertising revenue growth again in 2018. Given the challenges facing many digital media publishers today, these results underscore the strong execution of our strategy by our national sales team, and the USA TODAY brand. Looking ahead to 2019, marketing solutions organization will build on this strong foundation, the strategy, organization and branding, while also implementing additional technocological improvements that will drive efficiencies across the entire sales process from planning to order fulfillment. The sales teams across both Publishing and ReachLocal are laser focused on acquiring customers and driving improved sales productivity. Our sales efforts will be supported by investments in sales hiring and training, key marketing initiatives and product development to ensure our platforms and tools remain the best in the industry. We know the future of the company is digital and anticipate much more robust growth in our digital advertising and marketing services revenues in 2019. We are on track to achieve our target of more than 50% of our advertising and marketing services revenue from digital sources early in 2019, ahead of our previous schedule. Turning to our consumer organization, there are also many successes to highlight. Our unique visitors as measured by comScore reached an all time high of 133 million in November, driven by our unique and differentiated election coverage across our markets and from our national team at USA TODAY. For the full year, our unique visitors, as measured by Comscore, averaged $126 million, up 8% year-over-year, a strong performance relative to our peer set, which was flat. Our continued audience growth in 2018 is a testament to the success of our audience development strategy, which is being implemented across our newsrooms, our investment in key areas such as video, where we launched three new series this year that's delivered more than 1.3 billion views and our product development team's relentless focus on delivering best-in-class results. Additionally, our focus on innovative new consumer experiences, like virtual and augmented reality, has supported our audience development efforts, in fact, just this morning we're very excited that USA TODAY NETWORK was named on Fast Company's annual list of the world's most innovative companies for 2019. The company was listed as number four in the virtual augmented reality category. This is an outstanding recognition for our endeavors in emerging technology and storytelling, including our work for the Pulitzer Prize-winning, The Wall, the launch of our augmented reality app 321 Launch and our AR experience that supported our investigative journalism podcast, The City. Additionally, the team has released two AR projects this year, including Monday's AR experience around the Oscars and has over a dozen projects in the pipeline for 2019. Finally, the top highlight of the year for our consumer organization was winning three Pulitzer prizes, the most network wins of the prestigious award in a single year since 1991. I couldn't be prouder of the extraordinary journalism our newsrooms produce each day, which strengthens the communities we serve, while expanding our audience and increasing monetization opportunities. While our industry is undoubtedly facing challenges, we at Gannett are committed to remaining a trusted source of news and information across our communities and we are confident that continued thoughtful investments in journalism and marketing solutions will enable us to do so, while also creating value for our shareholders. In 2019, our consumer organization is focused on growing overall digital audience and engagement, retaining our loyal print subscribers and creating products and experiences that drive continued growth in digital subscriber base. We are making additional investments in video content, where we are experiencing strong returns, and in product development to increase engagement and conversion to our paid digital products. Based on the success we saw in 2018, we are lowering our pay wall meters across a broader set of our markets to drive conversion opportunities and we will be experimenting with hybrid models that will restrict access to certain premium content, while still metering the rest of the content. And finally, building on our learnings from 2018, we will continue to look at increased pricing for our digital only subscription. This year we will also be investing in a variety of audience acquisition tactics to grow and nurture the top and middle of the funnel, to attract new users and increased conversions. There are very large non-paid audience, including more than 100 million unique visitors, 6 million newsletter subscribers and 2 million podcast audio listeners, to name a few. Growing these non-paid users and converting them to paid subscribers is a key focus for 2019. For our full access subscriber base, we have implemented a more strategic approach to our pricing for 2019, excluding the customers who are already paying a premium for our content and targeting lower priced subscribers. Given the slightly smaller subset of subscribers and lower price points, we are anticipating less incremental revenue year-over-year from full access pricing and that overall circulation revenue trends will be lower in 2019. Across our organization, we remain committed to running our operations as efficiently as possible to both enable investment in key growth areas and protect journalism, while at the same time being mindful of our margins and overall returns to shareholders. 2018, we consolidated three printing facilities, streamlined distribution routes, outsourced a portion of our inbound customer call centers and offered an early retirement program to our employees. As we look ahead to 2019, our focus on efficiency will continue. Some key projects include the outsourcing of various technology functions over the course of the first half of the year, the restructuring of some newsrooms into a more holistic, lead managed, to holistically manage state coverage and additional printing and distribution efforts. While these cost efforts are difficult, they are critical to the long-term success of the Company. Amid all of these initiatives, we will continue to be disciplined in our use of capital for both organic and acquisitive growth opportunities to deliver value to shareholders, as we have in the past. Before I turn the call over to Ali, I want to take a moment to thank the team at Gannett and all of our shareholders. I'm focused on supporting Gannett's leadership, continuing our digital transformation and positioning our brands for the future. We've accomplished a lot since the spin-off in mid-2015, growing our digital revenues to $1 billion or more than one-third of our total revenues, and creating an advertising and marketing solutions powerhouse that generates more than $780 million in digital revenue. We truly believe that we have a unique set of assets, including the strongest digital marketing solution set in the marketplace, an impactful local to national journalism, and we remain optimistic about our market position and future growth opportunities. With that, let me turn it over to Ali.
Ali Engel: Thank you, Bob, and good morning everyone. One quick housekeeping item to start. Our fourth quarter of 2018 had 92 days, while the fourth quarter of 2017 had 98 days. We estimate the six days accounted for $41 million in revenue and $30 million in adjusted EBITDA. When further comparing the 92-day course, in 2018, we had one less Sunday and one more Monday as compared to 2017. These day trades have a material impact on our print, advertising and circulation revenues, and therefore, we have provided metrics adjusted for the day trades. Looking ahead to 2019, we anticipate the day trades will positively impact our first quarter and they will negatively impact our third quarter. Consolidated revenues were $751 million compared to $854 million in the fourth quarter of 2017. The revenue decline reflects the loss of six days and the challenging print advertising and single copy circulation environment, partially offset by the WordStream acquisition, full access subscriber pricing initiatives and digital and marketing services revenue growth. On a same-store day-adjusted basis, total revenues declined 8.6% in the fourth quarter. Further adjusting for the day trades, the decline was 7.4%. Total digital revenues of $272 million, represented 36% of total revenue, up from 32% a year ago. Adjusted EBITDA totaled $111 million for the quarter, down 16% from last year. The solid growth in our ReachLocal segment and the addition of WordStream did not entirely offset the revenue pressures within the Publishing segment. Total fourth quarter same-store day-adjusted operating expenses fell approximately 7% year-over-year, reflecting production and distribution savings as a result of facility consolidations and lower payroll and benefits expenses. These reductions were offset in part by expense increases at our ReachLocal segment associated with higher revenues and the impact of higher newsprint prices. Turning to the Publishing segment. Fourth quarter revenues were down 9.8% on a same-store day-adjusted basis. Further adjusting for the day trades, the decline was 8.5%, an improvement from the third quarter trend. We were pleased to see an uptick in our digital advertising and marketing services revenue growth, up 3.4% on a same-store day-adjusted basis versus 1% growth in the prior quarter. Digital marketing services revenues continued to be a bright spot, up 27.5% year-over-year on a same-store day-adjusted basis, driven by higher average revenue per client. We are seeing larger clients that are running more higher dollar campaigns. Within digital media, revenues returned to growth, up 2.3% on a same-store day-adjusted basis, with a strong national performance, offset by weakness in local display. At national, both our premium and programmatic channels delivered strong results with revenues up 18% year-over-year. Our strongest categories were media and entertainment, consumer technology, auto, telecommunications, financial services and retail. As expected, digital classifieds continued to negatively impact our overall digital advertising and marketing services results, although they continue to show improving trends. Auto and employment both showed smaller declines as compared to the third quarter. If you were to exclude digital classifieds, Publishing segment digital advertising and marketing services revenues were up 6.7% on a same-store day-adjusted basis in the quarter. Same-store day-adjusted print advertising revenues fell 21% in the quarter and further adjusting for day trades, the decline was 19.6%. We continue to see some of the largest declines from our national pre-print advertisers and with our very smallest clients. Switching to circulation, adjusted for day trades, our same-store day-adjusted revenue trends improved to down 3%, led by our US local markets, which benefited from our full access subscriber pricing initiatives and growth from premium additions in the fourth quarter. Single copy trends at both USA TODAY and within our local markets remain weak as expected. Digital-only circulation volume growth remained robust in the quarter, up 46% year-over-year to 504,000 subscribers, as we are aggressively targeting new digital subscribers. We also saw improved growth in our digital-only circulation revenues, which were up 38% year-over-year in the quarter, with solid retention, as our new subscribers move up their introductory rates to higher monthly rates. Turning to our ReachLocal segment, the fourth quarter revenue was $105 million, up 3.5% year-over-year, driven by the addition of WordStream and solid organic growth, offset by the divestiture of certain international businesses. On a same-store day-adjusted basis, ReachLocal segment revenues grew 5%. We continue to see strong growth in average revenue per client, as the number of products per client continues to grow. As discussed last quarter, we will focus much of our conversation on ReachLocal North America business, as that represents the large majority of the segment's revenues. Total North America revenue was up 19% in the quarter, driven by WordStream, as well as gains in the Gannett local markets and SweetIQ. By revenue category, our digital advertising revenues, which include products such as search engine advertising, social advertising and digital and display advertising, were down slightly in the quarter, driven in part by our continued shift away from smaller and lower margin clients. Our subscription revenues nearly tripled in the quarter, due to the WordStream acquisition and a 7% increase in our present solutions, such as listings and reputation management, SEO and website development. Our North America client base grew to 15,600 in the quarter, up 17% year-over-year, driven by the addition of WordStream. Excluding WordStream, our client counts were down slightly, as we continue to focus on acquiring larger, higher ARPU clients as mentioned previously. These larger clients are more profitable and tend to have higher retention rates. Our average revenue per client grew 9% year-over-year, excluding WordStream and totaled just over $2,000 in the quarter. WordStream continues to exceed our expectations and is progressing on numerous revenue and operational initiatives as planned. Key initiatives include cross-selling SweetIQ listings and reputation management products to the WordStream existing client base, while the product development team is focused on a new Google Shopping subscription offering, set to launch in the third quarter. The ReachLocal segment delivered another strong adjusted EBITDA margin, reaching 13%, up from 7% in the fourth quarter of last year, reflecting the addition of WordStream, higher average revenue per client and some year-ago charges at our international operations that depressed fourth quarter 2017 results. With solid EBITDA margins now established, our focus in 2019 is on driving top line growth through targeted investments in additional sales and marketing resources across all DMS products. Our GAAP net loss for the quarter was $14 million, reflecting $56 million of after-tax restructuring, asset impairment charges and other costs of which $30 million was non-cash. Turning to the balance sheet, we ended the year with $304 million in debt, including our convertible debt, and $135 million drawn on our revolver. Our cash balance was $94 million at the end of the quarter, resulting in net debt of $211 million. Capital expenditures totaled $19 million for the fourth quarter and $63 million for the year, reflecting investments related to digital product development, as well as projects supporting our ongoing facility consolidation and real estate transactions. There were no shares repurchased this quarter and we paid $18 million in dividends. We are providing the following 2019 outlook, which reflects growth in our digital advertising and marketing services and digital subscription businesses, as well as the continued pressures facing our print advertising and circulation revenue streams. Consolidated revenues between $2.74 billion and $2.81 billion, consolidated adjusted EBITDA of $285 million to $295 million, including approximately $8 million of one-time costs associated with the CEO transition. Capital expenditures of $50 million to $60 million, excluding real estate projects. Depreciation and amortization of $150 million to $160 million, excluding accelerated depreciation related to facility consolidations. The non-operating cost associated with our pension plans, recorded in other non-operating items, is currently estimated to be between $20 million to $25 million of expense as compared to a credit of $5 million in 2018. And finally, a non-GAAP effective tax rate of 28% to 30%. Before I turn it back to the operator, I'd like to remind you that we will only take questions today related to our fourth quarter and full year 2018 results. Operator, we will now take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Michael Kupinski with Noble Capital Market.
Michael Kupinski:
Bob Dickey:
Michael Kupinski:
Bob Dickey:
Michael Kupinski:
Bob Dickey:
Ali Engel:
Michael Kupinski:
Bob Dickey:
Operator: Thank you. Ladies and gentlemen, our next question comes from Doug Arthur with Huber Research.
Doug Arthur:
Ali Engel:
Doug Arthur:
Ali Engel:
Doug Arthur:
Ali Engel:
Doug Arthur:
Bob Dickey:
Ali Engel:
Bob Dickey:
Doug Arthur:
Bob Dickey:
Doug Arthur:
Bob Dickey:
Operator: Thank you. Our next question comes from Alexia Quadrani with JPMorgan.
Unidentified Analyst:
Ali Engel:
Bob Dickey:
Operator: Thank you. Our next question or our final question comes from Kyle Evans with Stephens.
Kyle Evans:
Ali Engel:
Kyle Evans:
Bob Dickey:
Ali Engel:
Kyle Evans:
Ali Engel:
Kyle Evans:
Ali Engel:
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's question-and-answer session, as well as today's call. This concludes the program. You may all disconnect and have a wonderful day.